Operator: Good afternoon. My name is Christine and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn the conference over to Ms. Willa McManmon, Director of Investor Relations. Ma’am, you may begin your conference.
Willa McManmon: Thank you, good afternoon. Before we begin I’d like to remind you that the forward-looking statements made in today’s call and the subsequent Q&A period are subject to risks and uncertainties. Trimble’s actual results may differ materially from those currently anticipated due to number of factors detailed in the company’s Form 10-Ks and 10-Qs or other documents filed with the Securities and Exchange Commission. During this call, we will refer to our press release, the press release and additional financial statements are posted on our website at www.trimble.com. The non-GAAP measures discussed in the call are reconciled to GAAP measures in the table to our press release. This call is being webcast and a replay will be available on the web and by phone as detailed in the press release. Let me turn the call over to Steve.
Steven W. Berglund: Good afternoon. The second quarter was the first feel good quarter Trimble has had in three years. Feel good signifies an outlook that strengthened during the course of the quarter, a growing sense of confidence about medium term prospects across the company’s businesses and the sense that our financial model is firming up. In particular, the combination of the E&C and Field Solutions segments which represent 84% of total revenue grew 27% and left the quarter with strengthening momentum. Our view, of course, represents strut contrast to current concerns about the macroeconomic environment, while acknowledging the possibility of an economic rocky road, our snapshot view on 2011 revenue as of today is above our original outlook for the year with a further upwards adjustment for the effect of the Tekla Acquisition. E&C segment revenue grew 26% year-to-year with strong operating leverage. The improvement also reflected the change in Nuance with less reliance on heavy and highway business. Although we saw continuing strength in heavy and highway in the quarter, we also saw modest improvements as well as improving confidence and surveying instruments and those businesses serving the building construction market. While commercial and residential construction remains in deep recession in the US and most parts of Europe, levels of activity appeared to have recovered from the bottom. These trends offset slower growth in China, there was a function of both government efforts to cool the economy as well as the recent problems specific to railway construction which has been a major Trimble focus. Ignoring short term transaction accounting effects, we anticipate Tekla will operate at or above Trimble’s overall revenue growth and operating margin targets. The field solution segment improved 30% year-to-year and reflected contributions from both agriculture and GIS. The agricultural performance was driven by continued strength in the agricultural economy around the world as well as an expanded product range. GIS although still negatively impacted by budgetary constraints of the state and local level, reflects the effects of new products and the early results of greater focus on vertical markets. The recent acquisition of OmniSTAR’s signal corrections business which is currently most heavily supporting agriculture is making an early meaningful contribution to profitability and has deepened our recurring service solutions portfolio for existing markets and more to follow beyond agriculture. Advanced devices reflected relatively different results in the quarter primarily due to a short term drop in our timing product sales to largely telecommunications infrastructure projects and the loss generated by ThingMagic, which was acquired in late 2010. We expected recovery and tiny revenue during the second half of the year, and also expect the significant gross margin improvement in ThingMagic as it begins to utilize Trimble’s manufacturing capabilities in the third quarter and has RFID capability has to be incorporated in products across the company. Although, the operating profit of the mobile solution segment net expectations, we do not establish a trend, a bottom line improvement partly because of deferred revenue affects. Our strategy to create consistent segment with growth and profitability is focused on establishing strong vertical solutions much as we’ve already done in construction supply which has consistently generated both revenue growth and double digit operating margins in a difficult market. Beyond construction supply our identified vertical markets in the segment are first three transportation logistics, communications, environmental field services and trade and public safety. We are focusing on two specific constraints to profitability in the segment, one is the communications vertical, which is primarily focused on large enterprise customers and telecommunications and adjacent markets and the other is the legacy on focused Fleet Management Solutions. Our solutions in the communications vertical will be to add additional value and capabilities, such as diagnostics and RFID based solutions allowing us to increase monthly revenue. The course on fleet management issue will require more cost effective distribution modem which is being implemented. Overall, we expect mobile solution segment profitability by year-end and believe we have a sober plan to achieve double digit operating margins in the medium term. We are in the process of adding another key element to our transportation logistics vertical strategy, but the recent announcement of the acquisition of PeopleNet. PeopleNet represents an example of the enhanced value add that can be provided in specific vertical markets as it provides an extensive solution beyond basic track and trade capability, which includes tools to manage a complex regulatory environment, fuel costs and driver safety. Trimble can further enable PeopleNet by tapping into our technology base to further extend capabilities and provide more customer value. PeopleNet complemented the earlier acquisitions of European based Punch Telematix and the Indian based Tata Automotive Mobility Technologies and in combination creates a worldwide player. PeopleNet brings the financial track record that is already consistent with Trimble’s revenue growth and operating margin performance, but the expectation that our combined capabilities should allow us to enhance it’s already strong performance. In summary, we believe we are on track and are meeting our stated financial targets for the entire – the overall economy does represent a potential challenge to this view if it works. At the same time any kind of revival in the commercial or residential construction market or an improvement on our sober forecast for mobile solution could create an upside. As of today, we continue to expect record year with strong Five new products and new applications carrying to 2012. Let me turn the call over to Raj.
Rajat Bahri: Good afternoon, as usual I’ll cover the non-GAAP numbers in my prepared remarks today. Our GAAP numbers as well as the GAAP to non-GAAP reconciliation is available in today’s earnings press release. I’m pleased to say this quarter was a record quarter for Trimble in terms of revenue, gross margins, earnings per share and cash flow from operations. Revenue for the second quarter 2011 was $407.2 million up approximately 22% as compared to the second quarter of 2010. Non-GAAP gross margins were 53.4% versus 50.9% in the second quarter of 2010, due to high level of subscriptions services and software sales. Non-GAAP operating income of $80.3 million was up 30% as compared to the second quarter of 2010. Non-GAAP operating margin was 19.7% compared to 18.5% in the second quarter of 2010. During the quarter, we dropped 25.3% of incremental revenue to their bottom line. Non-GAAP net income of $75.2 million for the second quarter of 2011 was up 46% as compared to the second quarter of 2010. Diluted non-GAAP earnings per share in the second quarter of 2011 were $0.60 as compared to diluted non-GAAP of earning per share of $0.42 in the second quarter of 2010. Our tax rate was 10% versus 16% in the year ago quarter due to geographical mix of revenue and timing of early tax credits. Looking now at segments, second quarter 2011 E&C revenue was $236.7 million up 26% as compared to the second quarter of 2010, with growth in all regions and particular strength in North America and Europe. Non-GAAP E&C operating income was $49.4 million or 20.9% of revenue as compared to $35.8 million or 19% of revenue in the second quarter of 2010. Non-GAAP operating margins was up due to higher revenue and product mix. Second quarter 2011 field solutions revenue was $104 million up 30% as compared to the second quarter of 2010 due primarily to very strong sales of agricultural products. Non-GAAP operating income was $43.1 million or 41.4% of revenue as compared to $29.5 million or 36.7% of revenue in the second quarter of 2010. The increase in non-GAAP operating margin was again due to higher revenue and product mix. Second quarter 2011 mobile solutions revenue was $40.2 million up 5% as compared to the second quarter of 2010 due primarily to acquisitions partially offset by the previously announced loss of a major customer in the second quarter of 2010. Non-GAAP operating loss in mobile solution was $1.9 million or negative 4.7% of revenue as compared to a profit of $0.5 million or 1.4% of revenue in the second quarter of 2010. The decline in non-GAAP operating margin was due to mix of hardware and subscription services revenue and the impact of acquisitions as well as the loss of large customer in the second quarter of 2010. Second quarter 2011 advanced devices revenue was $26.3 million down 1% as compared to the second quarter of 2010 due to continued slower sales of timing products partially offset by acquisition. Non-GAAP operating income in advanced devices were $3.3 million or 12.5% of revenue as compared to $5.6 million or 21.2% of revenue in the second quarter of 2010. The decline in non-GAAP operating margin was due to lower revenue and product mix and the impact of acquisitions. In the second quarter of 2011, 50% of revenue came from North America, 25% from Europe, 16% from Asia Pacific and 9% from the rest of the world. The year-over-year growth raise by regions was 14% in North America, 9% in Asia Pacific, 43% in Europe and 47% in the rest of the world. Non-GAAP operating expenses for the second quarter of 2011 were $137 million or 33.6% of revenue compared to 32.4% in the second quarter of 2010. The increase in operating expenses as a percentage of revenue is due to acquisitions and the impact of foreign exchange. Second quarter 2011 non-GAAP non operating income was $3.5 million versus $296,000 in the second quarter of 2010 due to increased (Scott) CTCT joint venture profitability and impact of foreign exchange. We finished the second quarter of 2011 with $249.8 million in cash compared to $244.3 million in the first quarter of 2011. We used $57.5 million for business acquisitions, cash flow from operations in the quarter was $82.8 million. Accounts receivable for the second quarter of 2011 was $257.2 million as compared to $265.7 million in the first quarter of 2011. Day sales outstanding in the second quarter of 2011 was 57 days as compared to 63 days in the first quarter of 2011. Inventory in the second quarter of 2011 was $216.1 million compared to $203 million in the first quarter of 2011 with terms at approximately 3.5 times compared to 3.7 times in the first quarter of 2011. Turning now to our guidance for the third quarter of 2011, Trimble expects revenue between $406 and $411 million with GAAP earnings per share of $0.20 to $0.22 and non-GAAP earnings per share of $0.48 to $0.50. Non-GAAP guidance for the third quarter of 2011 excludes the amortization of intangibles of $25 million related to previous acquisitions. The anticipated impact of stock based compensation expense of $8 million and anticipated transaction costs of $6 million. Both GAAP and non-GAAP earnings per share assume 11% to 13% tax rate and 1.7 million shares outstanding and interest costs of $3 million. Please note the above guidance includes the result of the recently closed Tekla acquisition. Excluding Tekla, the company’s revenue is expected to grow in the range of 22% to 23% in the third quarter. In addition Tekla is expected to be diluted to Trimble’s earnings per share like $0.02 in third quarter of 2011 and $0.02 in the fourth quarter of 2011 as a result of a one time non cash write off on a portion of Tekla’s existing deferred revenue. Trimble expects the Tekla acquisition to be accretive to it’s projected 2012 non-GAAP earnings about $0.08 to $0.10 per share beginning in the first quarter of 2012. In the second quarter, we also announced a credit facility of $1.1 billion of which we expect to have roughly $630 million drawn as of the end of the third quarter primarily to fund the Tekla acquisition which closed at the beginning of the third quarter to the enterprise value of $442 million and our preexisting debt of $125 million. Now, we will take your questions. Thank you.
Operator: (Operator instructions) Your first question is from Jonathan Ho with William Blair.
Jonathan Ho – William Blair & Company: Hi guys, can you hear me?
Steven W. Berglund: Yes.
Jonathan Ho – William Blair & Company: Great quarter and I think what’s on everybody’s mind right now is, you know, what’s giving you the confidence right now, just giving with the macro situation is that, it seems like your outlook is bit brighter and your thinking has actually improved, can you maybe give us some detail around what’s happening there that’s giving you that confidence?
Steven W. Berglund: Well, I can only comment on what we see, I’m not in a position to comment on the macro economics probably bad for others but certainly in the last year-to-date, but particularly in the last quarter, what we’ve seen in the majority of our markets is, let’s say an improving environment where and obviously in general sense of improving confidence, that’s not to say that it is anything like the market that we saw on 2007 or maybe even the earlier part of 2008, it still very much of truncated market from what it was in those days, so we are not back to that level of robustness. But, I think the prime at least prior to September 15th, 2008 was that, this is the company that has a potential to grow even in relatively recessionary conditions, I think the precipitous nature of the drop in 2008 challenged that assumption. But in general, we’re not commenting on views on the macro economy, I think what we are commenting on is the markets as we see them today and one month and to the third quarter, what you are getting is our view in our markets today and with no larger intelligence involved.
Jonathan Ho – William Blair & Company: Can you maybe comment a little bit around the mobile solutions division, it looks like there is some challenges in the margins again, and you know, we were looking for a little bit higher margins just based on, the more subscription revenue coming in to the hardware sales last quarter, can you just maybe talk about that dynamic and when you actually expect the operating margins from mobile to start picking up and some of the confidence around that?
Steven W. Berglund: As I said in the scripted remarks as we expect to be profitable by year-end, so I will let Raj make the comment on secularities in the particular quarter, but again, I think that we have a plan to be profitable in the segment by the end of the year and I think that we have, what I would consider to be a credible view on double digit operating margins in the medium terms, let’s call within the next 12 to 18 months.
Rajat Bahri: Yeah, in particular to this quarter, you know, even take a little bit more time to have profitability to come, if you look at deferred revenue it’s drawing, part of it is we have some enterprise deals that we announced in mobile solutions and we have driven – we are delivering a lot of increased functionality as part of the deal and although we’re shipping stuff, we cannot recognize revenue because we haven’t delivered all the functionality that we need to deliver and that all that delivered by Q4 and that will enable us to recognize the revenue ongoing on new subscriptions and also do a little bit of a catch up. So, to be honest, it maybe frustrating but we didn’t see the progress but I believe is that, you know, we will be up profitable in this segment by Q4.
Jonathan Ho – William Blair & Company: Got it. Just one last one of Europe, that looked to be particularly strong there. I just wanted to see, what was the source of that growth and maybe what that look like on an organic basis? Thanks.
Steven W. Berglund: Yeah, so, in Europe we saw a very strong growth in agriculture, you know, better than the (inaudible) that you saw 30% so very high growth in Agriculture in Europe. Our E&C business also grew at pretty strong double digits in lot of countries like Germany, France and we saw strong double digit growth and there is a bit of an acquisition impact there too, we did announce a couple of acquisitions in Europe as well. So, a strong double digit growth I would say, you know, we saw 44% growth, I would say somewhere in the 25% to 30% growth organic in the rest was acquisitions.
Operator: Your next question is from Rich Valera with Needham & Company.
Rich Valera – Needham & Company: Thanks, good afternoon. On the geographic front, you talked about, I guess, Europe being you know, sort of quite strong and I guess perhaps surprisingly strong. I’m wondering if you could, just comment on how you think you’re doing that in the face of what are some obvious economic challenges over there. I’m guessing a lot of it has to do with Europe products, products like increasing penetration perhaps. Could you just comment on that side of it? And then, in China, Steve, I just was hoping you could review what you said about that, you know, first you know, maybe you could give a sense of the magnitude of your China business, I know, you don’t break that up but it’s been a pretty big, you know, I think topic with investors in the stock. And then, what do you see as the dynamics in China, you mentioned it was slowing down, but I’m wondering if that’s still growing at a nice rate relative to the rest of the business?
Steven W. Berglund: Okay. So, first of all, Europe is very much of a next big, you really need to talk country by country, there really is no overall deal on Europe. So, I think that agriculture, I think stands alone in Europe and skews the results fairly heavily. So, I think that we’re doing well everywhere in agriculture at this point in time including Europe and I think that’s the one business that kind of transcends Europe. When it comes to construction, I think that you know, through the Mediterranean up to Ireland and still the UK is pretty weak. Nordic and Germany and generally France are relatively okay when it comes to construction. So, I think it’s just a blended story for Europe. But very Mexican generally weak and uncertain is still the environment in Europe. As far as China, a large part of what Trimble has been selling into China today has been focused on railroads, a lot of it being high speed rail. But generally, ministry of rail related activity. And so, I think there are two things that are occurring there. So, I think there is a general desire in the government to slow things down a little bit. So, that’s cooled the economy a bit. And then, I think more specifically tough is that the – both the relatively recent scandals in China about the ministry of rail and most recently the accident and questions as to how the railroads in China are being financed has caused, what’s called a slowdown there. Now our view on China, short and medium term is to a large extent unchanged. I think that there for a couple of years, we saw, let’s call it red hot growth, you know, bubble type growth in China and we took advantage of it. I think that China is maybe moderating to let’s call the more reasonable growth rate. And so, I think that it is our second largest country after the US. We are still talking about growth in China or just simply not talking about maybe kind of the bubble styled growth that we have been seeing but got meaningful double digit growth in China is probably what we can expect steady state for the next several years. So, still strong markets to a very attractive market is just not maybe being filled by kind of, some of the speculative excess that maybe we’ve seen in the last few years. So, still a positive story, still a growth story, maybe just not quite at the same levels as before.
Rich Valera – Needham & Company: Great. And Steve, given the recentness of the train crash, what gives you the confidence that you’ve actually seen the full impact of any slowdown related to that?
Steven W. Berglund: Yeah, I think, well, I think to the recent crash is maybe, got the interest of the international press. But, I think if you look at what’s been happening inside China for the last three to six months anyway, there has been, let’s call a bit of a retreat on the relative confidence that Chinese have had in the rail system. So, I think this simply made it more evident to a worldwide audience. But, I think in reality, things have been going on in China that have not been really noticed by outsiders for the last three to six months. So, I don’t know that the event of the last week or so is actually going to really change anything all that much. But, I think this has been really a six month sort of phenomenon in China and significant personnel changes and significant Nuance within the ministry of rail. So, yeah, this might intensify but I think that is, this is just a continuation of the series of issues in ministry of rail in China.
Rich Valera – Needham & Company: Great, thanks for that Steve.
Operator: Your next question is from Michael Cox with Piper Jaffray.
Michael Cox – Piper Jaffray: Hi, good afternoon and congratulations on a very nice quarter.
Steven W. Berglund: Thank you.
Michael Cox – Piper Jaffray: My first question is on the gross margin strength in the quarter. We called out higher concentration of software and subscription. Is there also a function here of mix towards field solutions and I guess, this number north of 51%, is that something that we can look for going forward as well?
Rajat Bahri: Yes, so, both our E&C segment and field solutions both expanded margins versus prior year. And obviously this has been part of our strategy and we’ve talked about you know, the company has increasingly focused on software type of products and subscription type of products and you know, that strategy continues to be a big part of our strategy going forward. So, yes, I mean, I think you know, we should look at you know, over 12 months rolling average expansion in gross margins as we move forward.
Michael Cox – Piper Jaffray: Okay. That’s encouraging. And then on the tax rate, any thoughts on where that will settle out in the back half of the year back to the mid teens level or?
Rajat Bahri: Yeah, so, I think we think of the back half in the range of 11% to 13%.
Michael Cox – Piper Jaffray: Okay, okay. I think that does it for me. Thanks.
Operator: Your next question is from Tavis Mccourt with Morgan, Keegan.
Tavis Mccourt – Morgan Keegan: Thanks for taking my questions. I was wondering if you could comment a bit on the internal growth broadly in the quarter or by sector, it seems like it picked up a bit, would be my guess, but it’s hard to tell exactly. And then secondly, Raj, you mentioned $630 million number on the drawdown, the credit line you expect for Q3, what should be we anticipating after that, would you expect to de-lever that or are you still looking to make acquisitions with that credit line and does any kind of decrease in your stock price like we’ve seen make you think about stock buybacks versus acquisitions, any kind of commentary you can have about your strategy around that would be great? Thanks.
Steven W. Berglund: Okay. Let me start generally and maybe Raj can add better intelligence. So, I think that, in terms of internal organic growth I think, we thought overdoing it here, yes we did better than we expected at the beginning of the quarter and that left was basically better prospects from within the company. So, I think that contrasting it is to general views on the economy at this point in time is, what we did see was, let’s call a more confident environment within the company relative to our internal growth prospects, most heavily cross E&C and certainly field solutions. So, I think that at this moment in time the organization feels better about the growth prospects going into the second half of the year, then it really has in a few years. Now the economy may come back and buy us on that in the second half, but right now this organization is actually talking more aggressively about internal organic growth and it has for sometime. Now some of that is actually, not just the market and maybe the markets are performing little bit better, but some of this actually relates to strategy. The strategy verticalization, which we are pursuing across the company, not just in mobile solutions, I think it’s beginning to have some effects. So, for example, in railroads for example which is, right now being reported in the E&C segment, we have created the business in and around railroads, now there maybe multiple as than more than 5, Trimble division selling to railroads at any point in time. And this is more than just China, this is around the world, but what we have organized as a business unit around railroads, we have organized one around electrical utilities and one around waste. And so, what we are doing is we’re getting better access, better insight and hopefully better penetration into some of these industries, when we have in the past, so during the trade of economic slowdown, we had to go slower on this, because at some point, because of the realities of cost control but with a somewhat that more robust environment we’re now pursuing these more aggressively and I think we’re actually beginning to see the impact of that simply better focus and more attentions some of these markets I think are adding some to the growth. The growth rates at this point in time, so I think that, yes the markets maybe somewhat better then there were, but I think some of this was actually strategy playing out and actually, where we’re actually able to more forcefully act then we were a year or two or three ago. Relative to the debt in terms of general aspirations I think that we’ve announced number of deals this year, OmniSTAR, Tekla, PeopleNet and others. And I think that our primary focus at this point is to continue with the first priority of investing in the business and then secondly if we do have excess cash, I think we’ve shown the willingness and desire to return that to the shareholders through stock buybacks, we would not intent to cumulate the stock. But I don’t think it’s an automatic proposition that we’re de-leveraging story at least not yet, that maybe – that may happen but right now I think that we’re looking to take advantage of the opportunities out there in the business as the first priority.
Tavis Mccourt – Morgan Keegan: Thanks Steve.
Operator: Your next question is from Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg – Deutsche Bank: Hi, thanks for taking my question. So, I have similar question for both of you, but I’m kind of looking for two perspectives. And what I want to understand better is, as revenue grows, as happy days are here again, hopefully, can you grow revenue, assuming no macro problems right. Can you grow revenue without having to grow expenses at a faster clip? And Steve like, you’re sort of qualitative, big picture answer and then Raj I would also like better understanding from you about how that plays out in the quarter, trying to pull out some of the puts and takes of Tekla and how that works into the model?
Steve W. Berglund: All right, well, yeah, so I think if you look at Trimble’s track record for the last 10 to 12 years is fundamentally, you take out the puts and takes of special circumstances such as acquisitions, but the fundamental proposition of this company and our relative focus on talking about operating leverage really is, the focus on growing revenue faster than the cost based, that’s how we’ve expanded margins overtime. So, I think it is fundamental to the company. I think the relative number of acquisitions over the last 12 to 18 months, it has confused that baseline a little bit simply because what we are doing at this point in time, we brought a number of acquisitions with relatively high gross margins but also relatively high expense loads now, which in some sense is to start at the baseline, but there the proposition is that if we have the business, that has a high gross margin overtime with pie focus on operating leverage we will work the expenses down into a typically they are lot generate 20% to 30% operating margins on that. So, I think as a matter of principle at least overtime is that absolutely the principles to grow revenue faster than accounts base. Now, one other special circumstance just to point out an example where we have not really over the last year or so been – where we actually had to consciously spend more money then what I’d call the underlying study state baseline could be for example, on the SITECH build up – building up on internal channel. So we’ve had a groups of people going around and essentially establishing in SITECH that’s a cast that won’t be there at sometime in future when the channels built up. But the other is since we are moving into a number of white space areas, whether it be parts of South America, whether it be India, whether it be China is there is a initial load of putting in the support structure to support these new SITECH, okay so we are in both cases standing in advance of revenues. So, right now, there are a number of moving parts here but fundamentally the principle is yes, absolutely a tenant of this company which is to grow revenue faster than we are growing in the cost base.
Rajat Bahri: Jonathan just to get into your specific quarters, if you look at our Q2, we dropped 25% of the incremental revenue to the bottom line. So our margin is expanded because of that. It is expanded 120 basis points of margins in Q2. Now looking at Q3 just to get specific around that in our guidance includes Tekla revenue and we said without Tekla our Q3 revenue would be up in the 22% to 23% range and Tekla adds more revenue on top hill, excluding Tekla that revenue range would have been in the $387 to $392 million range which is you know around 22% growth rate this prior year and again we expect to drop 25% on that incremental revenue to the bottom line. Now the Tekla acquisition is adding revenue but at this time it is not adding profit because we had to write on top all the maintenance revenue, they pick up maintenance revenue in the beginning of the year and then they amortize during their full year, but the US gap will say that you pick up an acquisition you write that off. So, we are not picking up $5 million of revenue in profit in our numbers in Q3 and Q4 that will come back to us in Q1, so you just need to get into excluding Tekla, we are delivering our basic model delivering our basic module and Tekla took over the deferred revenue haircut, we are not picking up any profitability for the first two quarters. But next quarter – Q1 we’ll get you know, great margin in Tekla because that revenue, the maintenance revenue, the contracts get renewed every year and we’ll start picking up that extra revenues starting in Q1 of next year. So, in other words, the guidance of $0.48 to $0.50 that includes a dilution that Tekla is providing our base businesses a couple of pennies higher than that.
Jonathan Goldberg – Deutsche Bank: Got, it. Thank you.
Operator: Your next question is from Ajit Pai with Stifel Nicolaus.
Ajit Pai – Stifel Nicolaus: Thanks. Good afternoon and congratulations on a very solid quarter.
Steven W. Berglund: Thank you.
Ajit Pai – Stifel Nicolaus: So, a couple of quick questions. I think, the first is on the mobile solutions side, over the past in our several years that business has been highly fragmented business. And recently, they have been – with the transactions that you have had recently, it appears that our relative market share in the business is becoming material. Could you give us some color as to what the at the end of the year your relative market share is likely to be on a global level and how many other players are sort of close to you in terms of, about relative scale?
Steven W. Berglund: Okay. Well in terms of market share, I think it’s – market share would require I think a long dissertation because as you pointed out that the market is so fragmented. So I think we need to really dissect it kind of vertical market by vertical market. I think that they are on many applications, that have a black box on a vehicle. But we are attempting to move away from that. So I think it really comes down to individual market segment by market segment is the only way to talk about it. Now characterizing the competitive situation in general, I think let’s call it falls into three, maybe four different categories here in general. I mean, again, I’m generalizing too much here, but I think, there is (Qualcomm) and their upcoming tracks operation which represents, call it the big revenue base up there. And then, I think – then Trimble fits into let’s call it a second category here where revenue in the general space is measured in the hundreds of millions, and okay. There are few – if maybe any others in that category then there are a number of probably companies that are doing $40 million to $60 million, to $70 million a year in the space. And then, the other category is garage shops where a number of individuals are working out are working on and perhaps literally a garage somewhere writing code. Now, I think that what we have found and what we are continually finding is that the competitive round falls out in terms of who is most credible in a five year context, what company, what competitor has got, a good solution to-date, but what competitors really going to be there in five years. And, in kind of the old IBM mantra of nobody gets fired for picking up IBM. So, I think that plays to our benefit in the long-term, because we’re accompanying with balance sheet. We’re a company with credibility. We are a company with brand. And I think we can leverage that particularly when we move beyond kind of the trick, track and trace, dot on a map, level of functionality and you start to integrate more closely with the enterprise. So, I’m going to dodge the question on market share, just because I think that it’s too complicated, but I think the competitor dynamics at this point in time, given the competitive field are looking pretty good for us over the next few years.
Ajit Pai – Stifel Nicolaus: And some of the improvement in profitability in that segment that you’ve talked about is, most of that is going to come from operating leverage of increasing revenues, or some of that also going to be coming from, you know, some further streamlining of cost?
Steven W. Berglund: Yeah, I think, well, I think it’s both, I think that, as I identified, I think some of this is just managing the portfolio. Most of the elements are mobile solutions portfolio are actually profitable, or if they’re not technically profitable at this point in time, how it have fundamental structure of profitability. The gross margins are at the right place. The cost structure is at the right place, or they maybe suffering, you know, kind of short-term issues, but we have a high degree confidence by making them profitable. We got a couple of the issues in the portfolio where we have to take action, one is what I called is large space, which is enterprise level, customers which is tended to be a bit too close to track and trace, sort of capability dot on the map functionality and so the value stream is rich enough so I think we’re focusing on that and getting the monthly ARPU up on that and the others kind of the, at road historical legacy of, what’s called bit kind of horizontal applications and I think there it’s, yeah, both the growth factor, but I think we also have to look into the cost, cost rationalization in terms of what is the cost per acquisition, what is the cost of maintaining a customer in that. So, I think it’s a little bit of both, Andy.
Ajit Pai – Stifel Nicolaus: Okay. And then the last question is just looking at both your agribusiness and your E&P business and emerging market outside of China. Are there any trends over there that you’re seeing that are material in terms of, you know, accelerated penetration that you expect in the next, you know, of growth over the there, over the next 18 months or is that also sort of showing similar signs in China?
Rajat Bahri: No, I think China is actually – well, China tends to be unique in this regard because it ramps so hot and now they’re – it’s cooling fast, it’s a change in, if you will contrast from today versus a couple of years ago. But I think general, we got to discount large parts of the Middle East at this point in time for obvious reasons. But, I think, India is still a small market for us, but we’re getting good traction in India. We’re seeing potentially very strong growth over the next five years in India. That’s mostly E&C we’re – given scale of Indian agriculture, it is not yet a market that we’re willing to put on the effort, we’re trying to figure that one out in terms of what technology can we bring to Indian agriculture at its current scale and we got some ideas, but it’s not officially on the list of emerging markets for us now. I think, Africa is turning out to be a major opportunity for us, not the easiest market to access, but there’s a lot of development going on in Africa. And I think, we’re dealing Africa as a legitimate growth market in its own right and I’m kind of talking (inaudible) sort of thing. So, I think the Africa is, if anything picking at this point in time and then I think through the parts, let’s call stable parts of the Mid East, yeah, maybe Dubai is not the market it was a few years ago, but at the same time that Middle East is strong market. South America, I think is a market both Brazil, Chile, sometimes Argentina are all markets where we see significant growth and we’ve increased our physical presence in Brazil to pursue that growth. So, I think in general, the emerging markets are not sharing kind of this floor view of China, which I think special circumstances. So we’re actually quite positive about the prospects in the emerging markets.
Ajit Pai – Stifel Nicolaus: Got it. Thank you.
Steven W. Berglund: Thank you.
Operator: Your next question is from Eli Lustgarten with Longbow Securities.
Eli Lustgarten – Longbow Securities: Good afternoon, everyone.
Steven W. Berglund: Hi Eli.
Eli Lustgarten – Longbow Securities: I come on a little late, forgive me, if I’m repeating something. But, first, I’d like to, just make sure I understand the quarter, which is the guidance that we got a while ago. Your revenue came in, we were 127, I guess, your guide was 291 to 397 how much of that, is there any acquisitions in that number, any acquisition revenue in the difference.
Steven W. Berglund: No, lot of it was organic, you know, we had anticipated in most of our acquisitions, because our big acquisitions Tekla is in Q3.
Eli Lustgarten – Longbow Securities: And so there was no any material acquisitions in that quarter that was strictly organically beat, correct?
Steven W. Berglund: Yeah, are you talking about the beat or versus what do you mean, yeah our expectations on the organic side led us to the beat the number significantly.
Eli Lustgarten – Longbow Securities: Now the non-GAAP number the 60 versus, you know multiple in the 50 the 10% tax rate added about $0.03 and I’m I right it was a $5.6 million gain in the foreign currency about $0.04.
Steven W. Berglund: No, we are excluding that gain, from a non-GAAP numbers.
Eli Lustgarten – Longbow Securities: I am sorry.
Steven W. Berglund: We are excluding that gain from our numbers but $0.60 does not include the gain, we had a gain because we hedged, we put a forward contract on the Tekla acquisition price, and there was a gain on that forward contract, we are excluding that when we calculate our non-GAAP EPS. Yeah, but if you include that our non-GAAP EPS would be $0.64 to $0.65.
Eli Lustgarten – Longbow Securities: Yeah, that would be in the GAAP number wouldn’t it?
Steven W. Berglund: It is in the GAAP number, you were asking about $0.60 it’s not in the $0.60.
Eli Lustgarten – Longbow Securities: Yeah, but it would be in the GAAP number. So the difference between you cited a tax benefits, the rest of it were just because of the higher sales.
Steven W. Berglund: Higher sales better margins.
Eli Lustgarten – Longbow Securities: Yeah a bit improvement. Now, you have now stepped up your amortization it was 13, no it was 16 to 13 in the quarter and you have given us guidance of $25 million that’s your run rate?
Steven W. Berglund: That’s because we used the Tekla acquisition in Q3 that grows, you know a acquisition of $440 million and that comes with goodwill and intangibles. So, the major reason we stepped up from Q2 to Q3 on intangibles is because of the Tekla acquisition.
Eli Lustgarten – Longbow Securities: And that will stay there for a while?
Steven W. Berglund: That will stay there for a while yeah these intangibles grow for seven years.
Eli Lustgarten – Longbow Securities: Now, the implication of your volume increase 22 to 23 versus, you know the guidance that you gave us is only about $18 million to $20 million for Tekla, is it a seasonally weak quarter, I know Tekla have any profits, but Tekla I thing $84 million last year in sales so I’m just trying to gather.
Steven W. Berglund: Yeah, you know I think you again missed the part of the call, I talked about how we cannot recognize, we have to write off there deferred revenue when we buy then, so right now we are forecasting $19 million of revenue and if we had recognized $5 million of that deferred maintenance revenue which is 100% margin, we would be at a $24 million to $25 million run rate times four that’s $100 million.
Eli Lustgarten – Longbow Securities: Okay, so and that would be the ongoing rate that will be –
Steven W. Berglund: Ongoing rate would be higher than $100 million because we will expect some growth next year.
Eli Lustgarten – Longbow Securities: Yeah, okay. And you said there is no impact, this first quarter and you said there is a benefit in the first quarter is a $0.08 to $0.10 benefit next year from Tekla or charging of?
Steven W. Berglund: Yeah, there is a $0.08 to $0.10 EPS benefit next year and Tekla starting in Q1 of 2012.
Eli Lustgarten – Longbow Securities: Okay, we know that. Now what’s going on in the base E&C business, it looks like you had profitability improving demand, it’s pretty strengthened, is there any change in order pattern as well as we got into the summer time?
Steven W. Berglund: No, I mean aside from what we call traditional seasonality, there is nothing order unique going on at this point in time, I think there is just a sense that, you know, things are returning to what I call a more normal pattern for the first time really since the end of the third quarter 2008.
Eli Lustgarten – Longbow Securities: Okay, and as far as the foreign side of mobile that’s going on, I feel we should – we are still looking at that the market, it looks like we are destroying, has it been any slow down in that market from normal seasonal basis or is that some strength continued this year?
Steven W. Berglund: You are talking about field?
Eli Lustgarten – Longbow Securities: Yeah.
Steven W. Berglund: Yeah, again normal strength everywhere, really is the story.
Eli Lustgarten – Longbow Securities: So, but usually your seasonality be most of the gains in the first half from the agricultural side, is that correct?
Steven W. Berglund: Yeah, we are expecting to see the same kind of seasonality as always there, I think the second quarter looked the strong as it did simply because of secular growth, I don’t think they really seasonal effects that explained that, so I think we’re just seeing strong secular growth there.
Eli Lustgarten – Longbow Securities: All right. Thank you very much.
Steven W. Berglund: Thank you.
Operator: Your final question is from Jeff Rath with Canaccord Genuity.
Jeff Rath – Canaccord Genuity: Just one question and then one clarifying question, follow up. One of, Steve if you could isolate the SITECH expansion and speak to that a little bit, where is it today? How many dealers, how, I don’t know if it’s penetrated, but how complete is that rollout, when do you think that will be complete? So, if you could give us some context around that and maybe even how that’s contributing to revenues sort of separate contribution. And the, Raj, in your scripted marks, my follow up is, you talked about your revenue breakdowns by geography and you also talked about the incremental growth rates in those geographies, I wonder if you could repeat that for me, I was – I think I missed a few of those numbers, so Steve and Raj, thanks.
Steven W. Berglund: Okay. So, first of all relative to SITECH, so we are expecting when that settles, when it does settles is that there will be roughly plus or minus a little bit a 100 SITECH around the world. We expect to be substantially complete with that build up by the end of this calendar year. So, in the next six months we should be, you know, close to that number we won’t necessarily be at that number but we should be close to that number by the end of the year. Right, at this point in time, we are over half done, let’s say, literally dozens of being relatively close to completion, so it’s typically and this adds a little bit of last minute suspense that seems straight things out. So, we are over half done, we expect to substantially completed by year-end, it’s hard that, it’s hard unless it’s a Greenfield sort of territories, it’s hard to pull out exactly what is relating to SITECH activity and what’s not, but I think that when we first established the concept we were talking about a 2-3 plus points to the company, points from the SITECH based on what we can see at this point in time, that’s probably pretty consistent with where we being to end up. So, we are seeing a net effect, can’t necessarily quantify with precision simply because a lot of this is anecdote. So, we are certainly getting all the stuff better, better insight as to what the market is doing because of the association of the SITECH. We are I think getting the benefit of having one brand that stands for technology in the distribution channel over the worldwide basis. So, we are actually in some cases when it comes to accessories, branding accessories SITECH and creating a bit of a brand there, so I think we are starting to see the signs of leverage. It is still early days but I think we get – we think the full effect starting next year kind of by definition once we are fully build out. So, I think early the signs are encouraging, we are definitely getting a revenue lift from it and I think we are building what’s called more brand equity in the marketplace simply by being able to support one distribution brand worldwide. So, next year well, I think be the true test.
Jeff Rath – Canaccord Genuity: Raj, if you could speak to the day segmented gross rates, thanks.
Rajat Bahri: Yeah, so I’m trying to dig it up Jeff, as we speak. It’s from memory North America was up around 40%, Europe was up around 43%, Asia-Pacific was up around 9% and rest of the world was up in the 46%, 47%.
Jeff Rath – Canaccord Genuity: Thank you.
Operator: This concludes today’s conference call. Thank you for your participation, you may now disconnect.